Operator: Welcome to Shell’s Third Quarter 2022 Financial Results Announcement. Shell’s CFO, Sinead Gorman will present the results, then host a Q&A session with CEO, Ben van Beurden. [Operator Instructions] We will now begin the presentation.
Sinead Gorman: Welcome to our third quarter results presentation. With winter coming for many people and energy prices high, consumers and businesses have been trying to find solutions. This requires collaboration across all parts of our society. So, we continue to engage with governments to help make their new policies effective, and avoid unintended consequences in the energy markets. A good example of such collaboration is our gas storage agreements for the upcoming winter in Europe, particularly in Germany and Austria. And in the Netherlands, we have started to supply liquefied natural gas to the recently created LNG import hub. We have also been providing support to our customers. For example, we have increased the hardship fund for our Shell Energy Retail customers. And we will double the payment of the government’s Warm Home Discount scheme to the account of more than 150,000 customers in the UK. To address the short- and long-term energy needs, we must have a resilient portfolio of assets. We will achieve this through focused and competitive investments in a disciplined manner. For example, we are further growing our partnership with Qatar Energy with our involvement in the North Field South expansion. And we took a final investment decision on developing the Rosmari-Marjoram gas project in Malaysia, which will be primarily powered by renewable energy. Once built, the offshore platform will use power from 240 solar panels, whilst the onshore plant will be connected to the Sarawak grid system, supplied from hydroelectric plants. Also, we announced the acquisition of Shell Midstream Partners in the U.S. to further simplify our organization. We are more disciplined. And that sometimes means taking tough decisions when activities don’t meet our investment criteria or don’t perfectly fit our strategy. For example, in the U.S., we have sold our majority interest in the oil and gas company Aera Energy. We have ended our participation in the early-stage wind projects in Ireland. And we have withdrawn from a deal to take liquefied natural gas from developer Tellurian. We do not take these difficult decisions lightly. When I think about focus and competitiveness, I also think about our Marketing Business Update earlier this month. Our Marketing Business reaches millions of customers with a vast range of products and services. We are already number one in many areas and intend to be competitive in the emerging ones, such as e-fluids, electric vehicle charging, as well as biofuels. These solutions will especially help sectors that are hard to decarbonize. Over the past three years, around half of Marketing’s combined capital and operational expenditure went towards activities that generate low-carbon products. Impressively, these activities contributed almost 60% to Marketing’s earnings during the same period. With all these offerings, Marketing has that perfect combination of strong growth and returns, diversifying our portfolio. It is the quality of our portfolio, together with our strong operational delivery that has allowed us to significantly increase our shareholder distributions this year. We have now completed $6 billion of share buybacks for the third quarter. And today, we are increasing our shareholder distributions even further. We have announced a new $4 billion share buyback program, which we expect to complete by our Q4 results. This is expected to bring our total announced shareholder distributions for 2022 to $26 billion, in excess of 30% of our CFFO for the last four quarters. Through our share buybacks announced in 2022, we expect to repurchase some 10% of our share capital. And as indicated before, the reduction in share count allows us to increase our dividend in the future. So today, reflecting our progressive dividend policy, we have also announced our plan to increase our dividend per share by an expected 15% at Q4 results, subject to Board approval. These increased distributions show our confidence in our business, its ability to fund both our energy transition and our shareholder distributions. Now let’s see the results for the quarter. In the third quarter, we delivered robust results in a volatile market environment. Our adjusted earnings were $9.5 billion. In Integrated Gas, after a strong first half of the year, adjusted earnings were lower compared with the second quarter, primarily driven by trading and optimization. Due to increasing market volatility, there was a significant dislocation in historically correlated gas markers. This dislocation arose as a result of Russia’s invasion of Ukraine and the subsequent impact on the energy markets and regional gas prices. Our trading and optimization organization manages risk through hedging our physical volumes. Due to a breakdown in correlations, some hedges were less effective. LNG trading and optimization were also impacted by a combination of seasonality and supply constraints, where the business is geared towards supplying the northern hemisphere during the winter. Our Upstream business performed extremely well, delivering $5.9 billion, despite a decrease in Brent prices since the previous quarter. Our focus on value over volume as well as operational excellence continues to deliver strong cash flows and earnings. To give you an example, this quarter, in our operated assets in the Gulf of Mexico, we achieved the highest production in a decade. This quarter, we delivered a very strong adjusted EBITDA of $21.5 billion. And our cash flow from operations was $12.5 billion. Working capital outflows were mainly due to seasonal gas inventory build-up as well as higher initial margin requirements in Renewables and Energy Solutions. That brings me to our financial framework. Our capital allocation priorities are unchanged. We will remain disciplined and invest in opportunities that align with our returns framework. This year, we expect our cash capital expenditure to be in the range of $23 billion to $27 billion. Another important aspect of our financial framework is net debt. It is now around $48 billion, which is slightly higher than last quarter. Having a strong balance sheet and maintaining AA credit rating remains one of our priorities. So, this quarter clearly shows our financial framework in action. And we have demonstrated discipline and focus in managing our investments and financial position. We have confidence in our business and its delivery, which is why we are enhancing our shareholder distributions with new share buybacks and planned dividend increase for the fourth quarter. As we transform our business, we will continue to deliver the secure supply of energy that the world needs today and in the decades ahead. Thank you.
Operator: [Operator Instructions]
Sinead Gorman: Thank you for joining us today. We hope that after watching this presentation, you’ve seen how we are more focused, more disciplined and more competitive whilst we provide the energy which the world needs today and in the future. Today, Ben and I will be answering your questions. And just before we kick off, Ben, as I said earlier, this is your last quarter. Feels like a very sad moment, I have to say. You’ve been our CEO for nine years, and you’ve led us through some tough and some wonderful times. We’ve had the BG acquisition, which has been fabulous and, of course, also the difficult times through COVID. And you’ve set us up so well for the future. So just a big thank you. For me, it’s been -- yes, it’s been wonderful to work for you.
Ben van Beurden: Same here. Thank you very much, Sinead.
Sinead Gorman: Too short. And now please, could we have just one or two questions each so everyone has the opportunity? And with that, could we have the first one, please, operator?
Operator: The first question is from Irene Himona at Societe Generale. Please go ahead.
Irene Himona: Thank you. Good afternoon, and congratulations, Ben. Thank you very much. So, I had two questions. First, can you please give us an estimate for your 2022 cash liability, firstly, for the UK windfall tax and then secondly, for the EU solidarity tax? And my second question, going back to the 15% dividend increase for the fourth quarter, some will obviously be from the reduced share count and then there’s the genuine dividend increase. And for that progressive dividend increase, you had been guiding to a sustainable 4% a year growth at your reference oil price. Obviously, current commodity prices are well above that. So, basically, if we remove the benefit of the reduced share count, what was the underlying genuine per share dividend increase you announced today, please?
Sinead Gorman: All right. Thank you, Irene. And I will actually take both of those, if that’s okay, Ben. Yes, indeed. So on the first one, Irene, you asked specifically about the liability that we faced with respect to both the UK and EU solidarity. So with respect to UK and windfall tax, per this quarter, we have not seen an impact coming through largely because of the amount of investment that we’ve got at this moment in time. As you know, it depends on how much you’re investing and what profits you make. Therefore, it’s not going to apply, we believe, this year to us. Beyond that, what we’re seeing, of course, is that we expect, given where prices are, that we’ll probably be impacted in Q1 2023, but let’s see how it plays out. Your second part of the first was with respect to the EU solidarity. Because we haven’t seen that enacted yet, we have not actually had any impact in Q3. You’re asking how it’s going to play out in Q4. It’s quite difficult to tell at the moment because each country has to enact that, Irene. So, what we’re waiting to see is what happens in the core countries as well. So, I won’t predict where that will end up. Your second point was around the 15% dividend increase and question really is how much does that involve. Well, you’re right, there’s two parts to that, of course. We’ve been talking about how by doing share buybacks, we create capacity for future dividend increases, and that’s what’s occurred here. We have a 4% progressive dividend and that’s part of that 15%. But if I were to take a step back and look at how much share buybacks in 2022 have basically given us capacity for, excluding Permian, it’s around 7%; including Permian, it’s heading towards 9% to 10%. So you can see the building blocks there without Permian 7% plus the 4% progressive and then you see the difference to 15%. I hope that helps, Irene. With that, operator, could I please have the next one?
Operator: The next question is from Oswald Clint at Bernstein. Please go ahead.
Oswald Clint: Just a question, please, on the Upstream. Just looking at some of the margins here, the EBITDA per barrel, for example, $73, which pretty impressive and must be close to the highs. I know gas prices were higher, but you called out the Gulf of Mexico producing a decade-highs, and I think Wael was recently telling us how breakevens in that business have been pushed all the way down, I think, to $25. So is it gas or is it really a bit of evidence around these low breakevens in big basins like the Gulf of Mexico? Is it just the Gulf of Mexico or is it really a stronger performance across much of the Upstream portfolio, please? First question. Thank you. And then secondly, I wanted to ask around Integrated Gas here this quarter. I know there’s been a lot of discussion. It looks like in my model, which is not accurate, but it looks like potentially a loss in trading and optimization, which I think would be the first time ever. So, would I be wrong in saying you lost money this quarter, which, as I said, would be the first time? And frankly, what’s your view on when these correlations start to relink? And will you change your hedging strategy for 2023, please? Thank you.
Sinead Gorman: Oswald, let me take the second one, indeed. So, with respect to Integrated Gas, Oswald, where you’re looking at that, so if I take a step back so and think through, we tend to look, as you well know, on our Integrated Gas business as being pretty much second to none. It is an impressive portfolio that we have. And of course, you need to look at it over a number of quarters because things do happen between quarters. So, we look at it like that. If I look at the year-to-date, looking back at that, what I’m seeing this year for the three quarters is higher than I’ve seen for the previous year for the similar quarters as well. So, I don’t have any concerns there. With respect to -- from that point of view, so you asked specifically around the correlations, I’m not going to predict. I know better than to try and predict where we will see in terms of TTF and JKM. But what I would say in terms of the way we hedge, we ask our traders to look after price risk management for us, and we’re very comfortable with that. What you have seen, of course, is that hedges are not 100% effective. And what we tend to do, of course, is to hedge from the perspective of a seasonality approach rather than quarterly, Oswald. And that’s where you see just the difference across the two. And of course, you will always end up with basis risk regardless. So in terms of that, our hedging strategy is working very well for us. We always review hedging approaches as you go through different periods. And of course, with volatility, we always look at it, too. So, thank you.
Ben van Beurden: I can take the first question, indeed, but thanks for that question as well, Oswald. I think indeed, the Gulf of Mexico had an exceptionally strong quarter. Can I add, by the way, that in addition to having the strongest performance volume-wise for the last 10 years, they’ve also completed a year without a single safety incident whatsoever, which, of course, is fantastic news, too. But it’s not just the Gulf of Mexico. I would say, it’s very much across certainly the entire Deepwater portfolio. Our Brazil business has been doing very well as well. And I think what you are seeing here, Oswald, also is basically the effect of the high-grading that we have been doing for the last year. So, we have an extremely high-quality portfolio. I think the tail assets are getting out of the portfolio. And what you see when indeed macro is okay or supportive, you get very strong results. So, I would say, it’s just more than that. It’s more than just…
Sinead Gorman: Indeed. Thank you, Ben. Thank you. Operator, could we have the next one?
Operator: The next question is from Biraj Borkhataria at RBC Capital Markets. Please go ahead.
Biraj Borkhataria: Hi there. Congratulations, Ben, firstly and best of luck with your retirement. Two questions, please. The first one is just going back to Oswald’s questions on the hedging and 3Q impact. So, my understanding is this year has been quite hard to offload hedges in the secondary market because of the huge margin requirements. And obviously, you can manage the margin calls but some smaller companies can’t do that. But at the same time, I guess investors will want some comfort around the 3Q results and that not being a structural issue. And given the basis kind -- or the spreads have been blowing out since March, April, can you talk about what you’ve been doing since then to sort of ensure that this is a sort of a one-off rather than a structural issue? And then the second question is kind of just going back a few months ago. So, you’ve moved your listing from a dual list to the UK. There’s actually a European company in a different sector, recently announced intentions to move to the U.S. And they talked about market structure issues and constraints on valuation. And you’re seeing here as greater than 10% weighting in the FTSE 100. So, I appreciate, Ben, you’re probably not going to want to kick this off on your way into retirement, but you probably would have studied a potential U.S. listing a few months ago when you were considering the move to the UK. So can you walk us through your takeaways on that analysis and how you ended up where you are? Thank you.
Sinead Gorman: Excellent. Thanks, Biraj. Two very different questions there. I’ll take the first and I suspect we’ll tag-team on the second because it’d be interesting to hear the perspective as we made the UK approach. So you asked in terms of a few things there. First of all, it is not structural. I’m comfortable with that, without a doubt, very comfortable with where we are. And the way I would frame it as well, Biraj, is that when I look at our Integrated Gas business, I look at it from three different areas. I look at it from seasonality, supply and then paper versus physical. On the seasonality perspective of it, as you know, we tend to be very much set up for the Northern Hemisphere winter, and that’s what you see here. So, we tend to be shorter in Q3, a bit more length in Q4 and Q1, and that is consistent. The other thing that we look at is the supply side of things. As you know, Prelude was done for a large part of the quarter, and therefore, we didn’t see some of those cargoes coming in so we were even tighter than we were before. And then paper versus physical. And we talked a little bit about the hedges just a moment ago where I mentioned about the fact, we ask for price risk management. And of course, you don’t get perfect hedges. You don’t get 100% effective hedges as well. So, what we see there is the need to look at our hedging program from a seasonal perspective versus the quarterly perspective. And I’ll just be very, very frank on that as well. When you’re one of the largest LNG players out there, any small move, of course, gets magnified quite considerably as well. So, I will go back and remind us of the very good results that we’ve had earlier this year as well. So, definitely not structural without a doubt. Second one was on dual listing. And Ben, would you like to start in terms of consideration?
Ben van Beurden: Well, yes. Thanks, Biraj, also for your kind words. I would -- of course, we looked at a number of options at a time. We were clear what needed doing in terms of the simplification of the share structure. Of course, you’d have to look at what options do we have. And the UK was an obvious option. The U.S. was one there as well. I think you have to also look at what is the art of the doable because, of course, moving not only our tax residents but also then most likely the indexation out of both the UK and the Netherlands would have meant a tremendous amount of upheaval for our shareholders. And in the end, this was meant to be a shareholder-friendly move. I’m not entirely sure whether that would have voted for us to move the head office and the listing into the U.S. No matter how much you can look at it right now and say, well, you tend to get a better multiple if you are a U.S.-based, U.S. just listed.
Sinead Gorman: Indeed. Thank you, Ben. Dan, could we have the next one, please?
Operator: The next question is from Lucas Herrmann at Exane. Please go ahead.
Lucas Herrmann: Ben, thank you for putting up with me for the better part of the last 9, 10 years. And I guess to some good extent, congratulations as well in the -- I think you leave behind a better business than you inherited, and I think that’s probably all one can ask as CEO and custodian. Two questions. Sorry, the first one is back to the dividend, and it’s a little conceptual, and dividends from Shell concepts are kind of difficult because of history. But it’s -- what’s the right level of distribution of dividend? And I ask because when I look at the mix -- or the mix of dividend and buyback across your major peers, not least your U.S. peers, or when I look at the percentage of cash flow from operations in a normalized environment, and by that, I mean, something near a 50, 60, which, based on your past presentations, would suggest a cash flow from operations as somewhere around $45 billion. The indication is you’re paying out under 20% of cash flow now as dividend. Your peers are probably near 30%, 35% on a normalized basis. So, what was the discussion within the Board around this increase? And more broadly, just commentary around what you think the right level is or why this is at the right level. And then sorry, Sinead, I wanted to ask about storage and the gas that’s gone into storage, which clearly has had a very significant working capital impact this quarter. But more to think about -- I guess, it’s twofold. A, can you give us any indication of what the level of working capital associated with that gas is? And B, what the benefits that we might anticipate should be? Because I am presuming that you’ve hedged it and you’ve not let yourself expose to what’s a very volatile market. Any observations there would be helpful. Thank you. Sorry, it’s long-winded.
Sinead Gorman: That’s okay. Lucas, actually, I’m going to take both of them, if that’s okay, Ben. So on the first one, in terms of the right level, indeed, it’s the art versus the science, isn’t it, as you go through those. We’ve been very clear in terms of the distributions, Lucas, in terms of basically saying hard floor, soft ceiling, 20% to 30% of our CFFO, and you’ve seen us go through with that. So, as we’ve gone through, we’ve looked at, well, where do we go from there? We’ve created, as we said many times, the capacity through the buybacks to be able to increase the dividend as well. But it is about sustainability going forward. And this is about us having the confidence in our future cash flows. But of course, it’s twofold to that. We have many shareholders who are very interested in the buybacks and many others that are income-related and very much pushing for higher dividend as well. And we’ve heard the message around that as well. I felt it was a good timing to be able to give some clarity around that. So given where we are, we weigh up and that was a discussion at the Board, the way up between both the fixed element and the variable element and making sure that we keep both in our toolkit as we go forward. And you will continue to see that as well. Second question, sorry, flipping to a very different topic was around storage, as you say. And you saw that flow through, Lucas, in our renewables -- renewable energy and solutions business. So, it was coming through on that. So indeed, we have fed into storage, particularly in Europe. It’s really what Europe needed as we went through. In terms of the working capital, what would you say, just over 3 billion, I would say, is around the number in terms of how much is in storage at the moment, around that. And yes, we are hedged. So I hope that gives you some perspective. Dan, may we have the next question, please?
Operator: The next question is from Roger Read at Wells Fargo. Please go ahead.
Roger Read: Ben, congratulations. I hope your next chapter is as fun and fulfilling or maybe more fun and more fulfilling than the most recent one here. Questions for you all, I just want to understand the CapEx range. Obviously, you’re going to come in at the low end or below it for this year. How should we think about it next year, at least conceptually in terms of inflation, the projects that are underway, any other headwinds or tailwinds on that? And then, my other question to follow up is the dividend raise. Obviously, it’s been something people wanted to see and all. But just curious, as you think about this raise and how it sets up future raises, just how you’re looking at the overall picture of shareholder returns in terms of the dividend versus share repurchases? Thanks.
Sinead Gorman: Okay. Ben, would you like to take the CapEx? Well, I’m very happy to. I’m just...
Ben van Beurden: Yes. No, let me, first of all, Roger, thank you for your comments. And on your remarks, was it fun or fulfilling? Actually, it was definitely fulfilling. It has been quite a consequential term and I had quite a bit of fun as well, so don’t worry about that. Yes, on the CapEx, we normally don’t make any announcements, of course, in the third quarter when it comes to CapEx. But what we -- and I would say, if you want to make statements about CapEx, it should be for the new CEO to do rather than for the outgoing CEO. What I can say though is that we are a disciplined company, and we have worked very hard to demonstrate that we are disciplined. And therefore, what you can expect is, again, a very-disciplined approach to how we invest, understanding that we have to invest for the future. We have to also return to shareholders, and we have to continue to strengthen the balance sheet. So, in that sense, philosophically, there is going to be no change in how we think about allocating capital.
Sinead Gorman: Indeed. Thank you, Ben. Actually, that’s really a large part of the answer to the second question as well, which you’re asking really, Roger, about how do we consider the dividend range, et cetera? And how do we do that way up? It is very much about being -- looking after the balance sheet. So strong balance sheet, ensuring we have discipline around our CapEx and our investment range and then making sure that we deliver compelling returns to our shareholders. And as I’ve said before, it really is that mix between the fixed, which is the dividend side of things, and the variable, which is the share buyback. So it’s making sure we weigh those up at each time and making sure that it’s sustainable into the future as well. So, it will take some balancing. Thank you. Dan, may I have the next question, please?
Operator: The next question is from Giacomo Romeo at Jefferies. Please go ahead.
Giacomo Romeo: Yes. Thank you. And Ben, good luck with whatever comes next for you. And two questions, and they are on issues that are already been discussed, but I would like to go back to the sustainability of the dividend. And I completely understand that you want to keep a level that is sustainable through the cycle. But if you go back to in the second quarter, you have raised your long-term oil price. So that, in theory, should support a higher level of dividend, right? And the 15% increase today that as you discussed is basically just barely reflecting the reduction in shares and the 4% annual growth that you already have in policies. Just wanted to understand how do you fit the increase in dividend today versus your change in terms of long-term views on sustainable oil prices? The other question is -- goes back on the gas trading, and it’s -- just wanted to understand because obviously, we don’t see -- we haven’t seen as much volatility in some of your other peers. Obviously, I understand there’s a scale issue here. But I’m just wondering whether -- following what happened in the summer, you are reassessing the way you sort of look at your basis risk within the portfolio, and whether we should expect your trading business to be impacted again should the TTF-JKM spread widen again as it did in the third quarter. Thank you.
Sinead Gorman: Excellent, Giacomo. I will take both of those. With respect to the first one, you’re correct. We did raise our long-term outlook with respect to oil, and that has been factored into as we consider where do we believe we’re going forward. I would say, I think the 15% is a compelling change. We are feeding back the capacity that we’ve created, plus more, plus the 4% as well. And if I add up what we have announced in terms of buybacks plus the dividend as well for this year, I would say talking about $26 billion of returns back to shareholders is a compelling number, without a doubt. The $4 billion of share buyback is also sizable and we need to remember that as we go through. So, when you said also about the gas trading business and just thinking through your question there, you’re asking really, should we expect more? I will never predict where the markets are going to go through into the future. I think what I’ve learned watching these in the last six months is that there’s a lot of volatility and it is not sensible for me to try and go there. What I would say, of course, is that we are very focused in terms of where we hedge, what we put in place and being quite measured in what we do. So, our traders are doing exactly what we asked them to do and this price risk management as well. Again, as I said, we tend to hedge seasonally, so I wouldn’t look at the basis risk carrying into other quarters. Things tend to move quite quickly and you have to see what occurs as it is. So, thank you for the questions, Giacomo. Dan, may we have the next, please?
Operator: The next question is from Amy Wong at Credit Suisse. Please go ahead.
Amy Wong: Ben, I also like to wish you good luck on your journey, and thanks for your vision all these years. A couple of the questions I have, firstly, is in the Renewables segment. We’ve seen a few more low-carbon transactions in the market, whether it’s in renewable power generation or in the circular economy space. And I believe Shell also mentioned in the news of potentially being interested in some biogas in Europe as well. So, can you comment a bit on the M&A pipeline that you’re now seeing, some of the bid offers there and compare that to what the conditions, say, a year ago, what you’re seeing there? And then, the second one is a rather quick one. Just on your RES business. I know it’s always difficult to segregate the operations from the trading and all that, but would be helpful to understand whether your renewable power-gen assets are generating a positive EBITDA.
Sinead Gorman: Yes. Okay. Thank you. Great. I feel bad always passing across. I’m never sure which one to go with. So, I’ll take the second one and then pass the first one, if that’s okay, Ben, to you. So in terms of just keeping it short, Amy, you’re basically saying, what are they generating? It’s a marginal loss, I would say, coming through. It changes those are investments into the future at the moment. So, of course, we’re in that start-up phase where we have to move through them. So, it is, as you say, primarily what you’re seeing coming through this quarter relates to volatility that you see in the gas and power markets as well. So, I’ll keep that short. Thank you.
Ben van Beurden: Yes. And thanks for your comments, Amy. We never, of course, comment very much on M&A. Rest assured that we still have an M&A team that is looking at opportunities and not just divestments, also looking at opportunities in the market. Of course, we live in a very volatile time, not only for commodity prices but also interest rates, therefore, also valuations of companies. And indeed, opportunities may come up that are interesting and attractive and that we may want to execute within the capital framework that we have. So, let me not specifically comment on that one company that you referenced, but it -- but we always look at a whole range of options. And we want to make sure that not only do they strategically fit and that we have -- if we take on these opportunities, we have a long-term strategic plan for growing value with them. But also that if we were to transact on companies, no matter what they are, if we take them at the right point in the cycle.
Sinead Gorman: Thanks, Ben. And Dan, may we have the next question?
Operator: The next question is from Matt Lofting at JP Morgan. Please go ahead.
Matt Lofting: Two quick ones, if I could, please. First, following up on the earlier points around Integrated Gas and the trading optimization contribution in the third quarter. Can you just talk a bit about the extent to which legacy derivative and hedging structures that were put on prior to the market developments post-Russia, Ukraine contributed to the third quarter and the extent to which if they have had an adverse effect, particularly in the context of JKM, TTF movements, et cetera, that those structures roll off as we move into 4Q and 2023 and therefore, become more quarter-specific as opposed to recurring in nature? And then second, in the Upstream business, I think you highlighted the strength this morning of the contribution from some of the Deepwater businesses across E&P. If you could elaborate on that, on the portions of the portfolio that are functioning particularly well in this environment. Thank you.
Sinead Gorman: Excellent. Okay. With respect to the first one, you’re completely right, Matt. Hedges tend to be put on over a period of time and often well in advance, as you can imagine. We don’t tend to hedge by cargo. We tend to hedge by portfolio when you’re at our size and particularly by seasons. So, you’re right, a lot of these are very historical. And therefore, yes, there have been considerable dislocations, which is exactly what you’re leading to in recent months. So indeed, those changes have come through. What you also see, of course, is they will roll off at different periods in time, and that’s also what we’re seeing as well. So, I won’t do predictions into the future. You secondly asked around Upstream and I’ll ask Ben to build on it, if he doesn’t mind as well. Just our Upstream business has had a fabulous quarter. As you say, $5.9 billion of earnings is exceptional. And I think it’s -- I’m trying to remember, I think this is the highest earnings in the last 12 years. So, it’s really doing well. We talked about Gulf of Mexico earlier as being high value but also performing really well. And just to talk, I mean, its reliability is top quartile. We’re hitting 96% in the Gulf of Mexico, and those are the sources of elements which are driving our underlying business.
Ben van Beurden: And that’s fair. I think it -- our entire portfolio, of course, over the last few years has been high-graded significantly. So therefore, many parts or all parts of the portfolio are doing well and certainly also in today’s environment. I must say though that there is also a storage play that has done particularly well for us in this quarter, and that is contributing to the strong effects that we are seeing at the moment.
Sinead Gorman: Thank you. And Dan, may we have the next one?
Operator: The next question is from Martijn Rats at Morgan Stanley.
Martijn Rats: Ben, I would say, congratulations with a very eventful sort of nine years. And thanks for taking all our questions so patiently over that period. You’ve been very helpful with all the time you’ve given to us. I wanted to ask you two things. First of all, sort of very briefly on the dividend. I know many questions have already been asked, but I think this one is suitably different, built a bit on what Lucas has said. So, the dividend increase of 15% is sort of 4% the underlying rate plus 2% being the shares bought back over the last four quarters. Broadly, that is the math. And I was wondering if you would suggest to us that that is broadly a framework that we could use to think about dividend growth going forward? Can we use this as some sort of a mechanism or a framework to do dividend forecasting sort of in years ahead? And the second thing I wanted to ask relates to the chemicals business. Of course, not the biggest one in your portfolio, but it seems to be sort of struggling, somewhat overweight perhaps Europe and Asia, maybe a bit underweight U.S. I was wondering if you would be considering any sort of structural changes to improve the profitability there, given what we’ve recently seen.
Sinead Gorman: Excellent. Thanks, Martijn. Ben, I’m definitely passing Chemicals to you, given your expertise. On the first one, Martijn, indeed. So indeed, the way to calculate it, as you say, is we’re basically saying we intend, subject to Board, 15% in the Q4 results. How does that play out? 4% is the progressive. And then if I were to look at where am I without Permian is 7% to 8%. Where am I with Permian brings me up to the 10% so indeed. So it’s -- that’s how the numbers come together as you add them up. You asked specifically, is this something you can predict for the future? I think what I would say is that we’ve been very clear that this created capacity for this year, and we still view buybacks very favorably. But we are going to have a combination of both going forward. And in the same way as we’re going to remain disciplined on CapEx, you should expect to see us disciplined in terms of shareholder return, and we will use the balance between them because this is about making sure you’ve got the balance sheet, compelling returns but also the ability to invest into the future. So I will, at that point, pass to you.
Ben van Beurden: Yes. Thanks very much. And thank you very much for your comments, Martijn. I always enjoyed taking your questions and many of the other questions as well. On Chemicals, well, it’s a cyclical business, yes? We all know this. And of course, as we can see, the cycles can be quite severe and can be also quite long-lasting. The last time, of course, we saw something closely like this was 2008, 2009. And this looks to be indeed as bad. It will recover though. And over the cycle, what we see that our Chemical business has been performing very well, strong double-digit returns, but having said that, I do think that indeed, we need to change the makeup of our portfolio. We are much more commodity exposed, so about 80% of our volumes are commodity volumes, either base chemicals or they are commoditized intermediates like styrene, MEG, et cetera. Now, we have been working on that. So today, we are in the process of starting up a very large polyethylene plant in Pennsylvania that will give us a different type of exposure to different markets, different margins and hopefully, also with it, of course, a shift to the Americas, which look to be more structurally advantaged certainly now and maybe for some years to come. But that, of course, is going to be a process that will take years. Remember, conceiving of the idea of the Pennsylvania Chemicals complex when I was in Chemicals, and here we are so many years later, starting it up. So yes, indeed, we are looking at changing the makeup of the portfolio, but at the same time, we also have to bear in mind that this business is cyclical. And from time to time, you will enjoy it very much, and from time to time, it’s going to be tough, like it is today.
Sinead Gorman: Thank you, Ben. Dan, may we have the next one, please?
Operator: The next question is from Peter Low at Redburn. Please go ahead.
Peter Low: The first one is on the working capital again. So, over the last eight quarters, there’s been over $26 billion flow out of the business. Now, I appreciate there will be a lot of different factors behind that. But at a high level, should we assume that as commodity prices fall, a large chunk of that should flow back in, or is it a more structural increase driven by some changes to the business mix? And the second one was just another clarification on Upstream. Can you quantify the contribution from the noncash provision releases and gains on storage transfer effects? I’m trying to understand whether it was within the $1.3 billion to $1.7 billion range you guided to in the trading statement. I just wanted to kind of better understand why that result was so much stronger than consensus. Thanks.
Sinead Gorman: Excellent. Thanks, Peter. Two great questions. So, on the first one with respect to working capital specifically, you ask, is it structural? So, what do we expect to see? So, our working capital was at $4.2 billion, as you saw coming through, and it varied across the businesses. But if I look at it at the group level, I would always look at -- the frame I look at working capital is my initial margin. I then look at my inventory and then I’m looking at effectively the accounts receivable, accounts payable. So, if I split it across there -- now you mentioned the fact that if prices are coming down, should you see it coming back? On that inventory, we did see it coming back for our Downstream business. So, we saw it in Chemicals and we saw it in refining effectively or in product side of things. But what we saw specifically was that we built a storage position in our Renewables and Energy Solutions business. So we built up storage, and we talked about it earlier, some $3 billion there. So you saw that those two, in effect, almost offset each other. Initial margin we had, as you would expect, you made the point, high prices, the margining and that comes through. And of course, when our accounts receivable and our accounts payable, we saw that as an outflow because, of course, the value came down in terms of the receivables. So, that’s where it played out. So, the difference of what was intuitive, I think, for many was the fact that we were building a storage position in the quarter because of energy security because of where we believe markets may go. That was your first one. And with respect to your second one, sorry, just before I forget it, it was around the noncash provision. You were correct that it remained within the range of what we guided to in the Q, so -- the quarterly update note. Thank you. Dan, may we have the next question please?
Operator: The next question is from Henri Patricot at UBS. Please go ahead.
Henri Patricot: Ben, I wish you all the best for the future as well. I have two questions on the refining business. We’re seeing extremely high refining margins at the moment. I was wondering if you can share your views on what you expect to see over the next few months, quite a few moving parts with the EU embargo, potentially higher Chinese exports, et cetera. And secondly, just in terms of your own ability to capture these high margins. I mean, you’re guiding to a fairly high utilization in the fourth quarter, in the 90s. So, it looks like you should be in a good position to capture the high margins. But is there anything to remind as we look at the fourth quarter refining performance? Thank you.
Sinead Gorman: Ben, would you mind if I pass refining to you?
Ben van Beurden: I expected it anyway, Sinead. Thank you very much, Henri, for your nice remarks. I think Refining is going to be very difficult to get right under the best of circumstances. If you look at slide pack that we put out, see what the Refining margins have done, have reduced by a factor 2 or 50% from last quarter to this. They’re still high compared to historic numbers, and who knows where they will go next. There’s a number of things to consider. So first of all, as the sanctions further tighten in the -- at the end of the year, I think we will probably see more pressure on getting products and therefore, refinery capacity in Russia excluded from global markets. On the other hand, what we are also seeing is China taking more advantage of their refining system to now harvest value within international markets. How the dynamic will play out, I think, is very difficult to get an exact read of. What I do believe, though, in the long run, is that Refining is going to be structurally long. And therefore, what you have seen us do is to really concentrate our footprint to, first of all, fewer refineries but then moreover, turn those refineries into integrated energy and chemical parks, so that indeed, we are still being exposed to the Refining margin, but we’re, at the same time, also using these as springboards for growth, diversification of products and of course, also as the platform upon which we will build our low carbon fuels business, our hydrogen business, et cetera, et cetera. But we are not in the Refining business in the long run to enjoy a very good Refining margin. I do think these years are behind us.
Sinead Gorman: Thank you, Ben. Dan, may we have the next one, please?
Operator: The next question is from Christopher Kuplent at Bank of America. Please go ahead.
Christopher Kuplent: Ben, I’m sure you’re going to miss all of us and the challenges that you’ve managed through, but I did want to finish by asking you a very open question. What do you think is the biggest challenge that you’re leaving on the desk of your successor, Wael? Anything -- a very open question. And a bit more detailed one perhaps for you, Sinead. Could you give us an indication of your assessment of the gap, which I think is quite considerable, close to $10 billion between your tax charge and what actually flows through your cash flow payment? Any help in terms of outlook for Q4 and beyond would be much appreciated. Thank you.
Sinead Gorman: The first one is definitely yours.
Ben van Beurden: But I can’t dodge that one, can I? And Christopher, thank you very much for your very nice words. I will miss you but I hope that there will still be opportunities to meet up or come across each other. Well, we have to start with the biggest challenges for a while. It’s not as if I designed a few for him to take care of. I think the world is presenting all of us in the industry with tremendous challenges. And I basically come back to the energy trilemma. How are we going to balance, on the one hand, making energy more sustainable but also making it affordable or keeping it as affordable and, at the same time, securing supply? And of course, if you peel that onion back, there are so many challenges in there already that have to be managed, with different expectations, quite often, not exactly compatible with each other. And navigating that, I think, will be anybody’s challenge in the industry, including wells. The other thing was specifically, I think, is the operationalization of our Powering Progress strategy. While of course, there has been part, the member, core member of conceiving and designing that strategy, I think we are well on our way to implementing the strategy. You can see us making progress, whether this is indeed a financial turnaround of the Company but also the carbon turnaround and the focus that we have on supplying energy and protecting nature. But of course, the operationalization of that strategy will be very much further done on his watch. Now the good news is, Wael is incredibly smart, he is incredibly competitive, he has a laser-sharp focus on value. So I consider myself lucky being able to hand over this challenge to Wael, who I think will be doing a fantastic job in the operationalization of our Powering Progress strategy. But indeed, navigating the trilemma, I think, will be his biggest challenge.
Sinead Gorman: Indeed. Thank you, Ben. I was quite intrigued to hear the answer to that one myself. The second one is very specific, Christopher. So you’re asking around really the difference between the tax charge that you’re seeing come through and the tax paid. You’re seeing a difference of around about $2.2 billion. And this quarter, that comes through in the difference which is timing. As you know, the way it plays out typically is that we see the -- hitting in terms of the charge coming through the books, depending on the price that you’re paying at that point in time, but actual repayment can go out and different countries have very different structures. Could be once a year, could be quarterly, many things like that. So, this $2.2 billion is the difference at the moment. We saw about $2.1 billion last quarter as well. And the differences are typically due to the deferred tax movements but also the phasing of it as well. So, I would say, yes, you are seeing an increasing tax paid coming through, which is natural with the prices the way they are at the moment as well. Thank you. And Dan, may we have another question, please?
Operator: The next question is from Jason Gabelman at Cowen. Please go ahead.
Jason Gabelman: Maybe just one clarification first. On the dividend, you typically announced a raise in the first quarter. Is that still expected for this upcoming first quarter? And then maybe I’ll ask two other questions quickly. On LNG, there’s been since last year, maybe lower output coming out of your portfolio. That’s limited the ability to capture spot prices. Is that still ongoing? Is that something that affected 3Q with Prelude down? Just trying to understand what the segment did in 3Q versus the actual earnings capacity. And then, Ben, given this is your last call, and thanks for taking all the questions, I do want to ask kind of an open-ended question. Europe clearly facing its own energy crisis, there have been a lot of proposals suggested out there. You said that the crisis maybe will last not only this winter but into next one. Are there any easy fixes, short-term government intervention that could be done to help alleviate some of the pressure we’re seeing on prices and which you expect to persist well into next year? Thanks.
Sinead Gorman: Thanks, Jason. Last one definitely to you, Ben. I’ll take the first two quickly. With respect to the dividend, you’re right. We typically announce that with our Q4 results, and then you see the payment coming around by May. What we have done now is to say that actually, we will make sure we announce it actually in Q4 and we will pay it in March. So, to be clear, it is not additional. The 4% is already in the 15%. So, I need to make that very clear out there. In terms of LNG, in terms of lower output, as you asked, what we’re seeing, of course, was that in the third quarter, we did have Prelude down due to the industrial action. That is -- came to an end just before the end of the quarter to those cargoes. We’re not there and we hope to see them now. Of course, we’re in the pitstop at the moment, which was always anticipated and expected. Just the normal maintenance that has to be done, but then we expect to have it up and running as well. So, I’ll pause there. Ben?
Ben van Beurden: Yes. Thanks very much, Jason. I wish I could give you a very simple one-liner open answer to your question. But there isn’t really. I think this is a very difficult position we find ourselves in, in Europe. It’s not necessarily a global picture, of course, but it’s a European challenge. Will we manage to solve this? Yes, we will. But it won’t be without pain and it won’t be easy. So very simply put, if you have to deal with such a significant drop away of supply of natural gas coming out of Russia, there’s only a few things that you can do, of course, to help offset it. First of all, it is responding with reducing demand, and I think that is happening quite effectively. If you have seen how much already in Europe demand has been reduced, that’s quite encouraging. Some of it has to do with reasonably warm winter still. Some of it has to do with turning down industrial activity, which is not a great way to reduce demand, but there is definitely a very strong response. The other thing, of course, is to bring on more supply. And this is exactly where we come in, in addition, by the way, to reducing demand. We have reduced demand very significantly in our operations as well. But bringing more gas into Europe, we have doubled the amount of gas LNG coming into Europe already. Here in the UK, it’s 3 times as much compared to the last 12 months or the 12 months before that. And of course, we are bringing on where we can, short-term projects like, for instance, the North Sea project is. We are working on Jackdaw. We are looking here and there what we can do with sort of near field tiebacks, et cetera, to bring new supply on that. All these things will have to be done and will bring some form of relief. And then finally, what we also have to do is accelerate the energy transition. At the moment, what we are seeing out of necessity almost, there’s a certain amount of gas to coal switching and we have to reverse that again. We have to make sure that we bring on more renewable capacity. That’s not going to be a short-term focus either. But this better be the wake-up call for policymakers to see whether we can accelerate permitting processes when we can do other things to award contracts just to make sure that we are seeing an effect over the next few years. But a short-term fix, I’m afraid, is not going to be available other than the demand response.
Sinead Gorman: Thank you, Ben. And Dan, I suspect we have time for two more questions. So, let’s take one now, please.
Operator: So, the next question is from Alastair Syme at Citi. Please go ahead.
Alastair Syme: Thanks. Sinead, to you, current spot gas prices in Europe have collapsed, as Ben just mentioned. I was wondering if that persisted through fourth quarter. Would that have an impact on the inventory position that you’ve built, i.e., is the inventory sold forward or not is really the question. And then Ben, for you, I think one of the very positive aspects that I think you’ve brought to Shell and probably the fact for the industry has been the way in which you sort of pushed forward a formal management compensation. And you yourself are tied to metrics that I think compared Shell’s financial performance to market performance to your global peers. And I appreciate that you said it’s sort of a U.S. domicile is off the cards. But I made the observation that unfortunately for you, two of those global peers at the U.S. have had pretty spectacular market performance. And that really means that your targets have become quite difficult to hit. So, my question to you is as you leave the helm here at Shell, your perspective on whether Shell, who you think shall compete on a level playing field versus all of the industry peers and where the change in the peer group might make your successor better equipped to make investment decisions in the future direction of the Company?
Ben van Beurden: You take the first...
Sinead Gorman: Two very different questions. First one, very short, Alastair. Yes, we are hedged, which is really the underlying question you’re asking me there with respect to the majority of the portfolio in storage at the moment. Ben?
Ben van Beurden: Yes, do we compete at the same level as U.S. peers? And I’m not entirely sure whether I heard your question correctly on compensation. But it -- but I think what you are seeing, if I take it a little bit more generally, Alastair, is that there is indeed a divergence in how the industry peer group is choosing its path and choosing its priorities. I think we belong very firmly in the camp that believes that while there is still a very long-term need for oil and gas that we can tap into that we can make value from, that we have to also develop responsibly for the benefit of the world. There’s also more future value in the new forms of energy that have different fundamentals also how value gets created. Value gets created closer to the customer and value gets created by advantaged products rather than advantaged projects. So yes, we have chosen a somewhat different path. In the end, we’ll have to see which path plays out well or which parts will have more longevity. I think the path that we have chosen plays to our strength and that’s why we have chosen it. I think the path we have chosen also plays more closely to who we think we are as a company, identity and the people that make up that identity. So, I’m very comfortable with what we are doing. It is indeed different. And it will probably take a few years, if not longer, to find out ultimately who is right. In the meantime, though, I am absolutely certain that we can also, in terms of underlying financial performance, take on our U.S. peer group and very much look forward to doing that as well or at least watch how Wael is doing it.
Sinead Gorman: Thank you, Ben. Dan, this is going to have to be our last one. I’m going to ask the IR team to go back to anyone else who has a question. My apologies. Over to you, Dan.
Operator: So, the final question is from Quirijn Mulder at ING Financial Markets. Please go ahead.
Quirijn Mulder: First of all, Ben, thanks for everything. And I would like also to congratulate you with your retirement in fact, probably no time for it, but also your other half as well. And then with regard to the, let me say, the whole geopolitical situation and the behavior of the politicians, is there any reason to think that there will be some acceleration in the FDs [ph] next year and 2024 and further with regard to developed projects, especially in the North Sea or maybe on all places in the world because of this geopolitical situation? And I think you have already answered this question [indiscernible] with us. Maybe you can elaborate on that somewhat. That’s my question.
Sinead Gorman: Thanks, Quirijn. Ben, I think -- oh, you’re passing to me. I was going to say, I was going to allow you to have the last word on the geopolitical aspect, if that’s fine with you.
Ben van Beurden: Okay. Thank you very much. I think it will be very interesting to watch this, Quirijn. And as I’ve said in other fora as well, it’s been a long time since we’ve had so many and so many good discussions with governments who, for a long time, of course, have taken certainly the availability but maybe also the affordability of energy as a given and had a somewhat singular focus on one side of the trilemma, taking together for granted. I think we have a better discussion now. And I’m sure that will lead to new insights. And therefore, it may well be indeed that governments are going to significantly focus also on developing their own natural resources again. I think it is then for companies like us to decide whether that is where we want to play or whether we want to play our Upstream and Integrated Gas business in areas where we have established strength. Maybe from the way I pose that question, you can probably deduce where the answer is going to be. But let’s see how that plays out. There may indeed be new opportunities for us, for instance, in the North Sea. But let me also say that I will look at Europe much more as a play for us to demonstrate our energy transition capacity and credentials and find out how we’re going to make money with many of our customers and counterparts here, particularly also as they need that even more so than they needed it before. But I’m sure that geopolitics at the moment will continue to shape the energy system for a long time to come and the other way around for that matter, Quirijn. But thank you very much for your question.
Sinead Gorman: A nice way to end, Ben, thank you. Thank you to all of you for your questions and for joining us on this call, and we wish everyone a pleasant end of week. Thank you.